Operator: Hello and welcome to the Scorpio Tankers Inc. First Quarter 2025 Conference Call. I would now like to turn the call over to James Doyle, Head of Corporate Development and Investor Relations. Please go ahead sir.
James Doyle: Thank you for joining us today. Welcome to the Scorpio Tankers’ first quarter 2025 earnings conference call. On the call with me today are Emanuele Lauro, Chief Executive Officer; Robert Bugbee, President; Cameron Mackey, Chief Operating Officer; Chris Avella, Chief Financial Officer; Lars Dencker Nielsen, Chief Commercial Officer. Earlier today we issued our first quarter earnings press release, which is available on our website scorpiotankers.com. The information discussed on this call is based on information as of today, May 1, 2025 and May contain forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statement disclosure in the earnings press release as well as Scorpio Tankers’ SEC filings, which are available at scorpiotankers.com and sec.gov. Call participants are advised that the audio of this conference call is being broadcasted live on the internet and is also being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations page of our website for approximately 14 days. We will be giving a short presentation today. The presentation is available at scorpiotankers.com on the Investor Relations page under Reports and Presentations. The slides will also be available on the webcast. After the presentation, we will go to Q&A. For those asking questions, please limit the number of questions to two. If you have an additional question, please rejoin the queue. Now, I’d like to introduce our Chief Executive Officer, Emanuele Lauro.
Emanuele Lauro: Thank you, James, and good morning and good afternoon to all. Thank you for joining us today. We are pleased to report another quarter of strong financial results. In the first quarter, the company generated $123 million in adjusted EBITDA and $49 million in adjusted net income. More so now than ever, we find ourselves reporting results within an environment marked by both strong product earnings and persistent global uncertainty. On one hand, structural changes such as refinery closures are increasing demand for seaborne transportation of refined products. On the other, policy shifts, tariffs and geopolitical developments continue to cloud visibility. In markets like this, we don’t get the luxury of clarity and we operate with ambiguity and must prepare accordingly. And that is exactly what we’ve done. The company is financially, operationally and commercially stronger than it was last quarter. We have materially strengthened our balance sheet, reducing debt by $2.2 billion since 2022, expanding our revolving credit capacity and locking in low cost capital and lowering our daily cash breakevens to $12,500 per day. Our liquidity now stands at close to $1.4 billion, comprising of nearly $400 million in cash, $838 million in undrawn revolving capacity and our investment in DHT. Operationally, we completed the special surveys for drydocking of 10 vessels this quarter and 63 vessels over the last six quarters. These upgrades will enhance and have enhanced vessel efficiencies, eliminating the need for repositioning voyages solely for drydocking purposes that have historically impacted earnings. Commercially, we added one new vessel on time charter and had three LR2 charters extended for one additional year. Recently, we’ve taken a more conservative approach to capital allocation, not because of our view on the product tanker market, which remains constructive, but due to the broader global uncertainty that continues to persist. Our outlook for both crude and oil refined products remains positive. Product anchor rates have begun the second quarter of 2025 at higher levels than those seen in the first quarter. With our balance sheets fortified, our fleet upgraded and market fundamentals still in our favor, we are well equipped to navigate uncertainty and continue creating long-term value for our shareholders. My opening remarks are concluded and I would like to turn the call to James Doyle, please. James?
James Doyle: Thanks. Chris, would you like to proceed?
Chris Avella: Sure. Thanks, James. Thank you, Emanuele. Good morning or good afternoon, everyone. As Emanuele emphasized, we are surrounded by uncertainty. This is why our focus has been on what we can control rather than what is outside of our control. In this regard, our strategic priority has been and continues to be the strengthening of our balance sheet. Slide 5, please. This quarter we generated $123.7 million in adjusted EBITDA and $49 million, or $1.03 per diluted share in adjusted net income. We’ve secured additional time charter coverage with the one year extensions on the charters for three LR2 tankers at $31,000 per day, along with a new two-year time charter on one of our Handymax tankers at $24,000 per day. We recently paid $50 million into our $225 million revolving credit facility. This amount covers all of the remaining quarterly principal amortization payments that were scheduled up until the loan’s maturity in January of 2028. Subject to the same amortization profile, these amounts can be reborrowed in the future under this revolving credit facility. This repayment follows our $200 million Nordic bond issuance in January where a portion of the proceeds were used to redeem our then existing senior unsecured notes which were due to mature in June of 2025 for $70.6 million. Thus far this year we increased our investment in DHT by purchasing an additional 4.3 million shares at an average price of $10.67 per share. This aggregate increase in ownership demonstrates our constructive view on the crude tanker market, but we were also opportunistic, having divested 700,000 shares at $11.85 per share. We highlight that this investment has the dual benefit of having meaningful exposure to the VLCC market, while also having the liquidity to move in and out of the position as opportunities arise. Slide 6 please. The chart on the left shows our liquidity profile. As you can see we have access to over $1.2 billion in liquidity as of today. This is approximately $1.4 billion if you include our investment in DHT. Our liquidity consists of cash of $397 million along with $838 million of drawdown availability under three revolving credit facilities. This level of revolving debt was made partially possible by the February execution of our new $500 million revolving credit facility which is secured by 26 vessels. While it is currently undrawn, this facility bears a low cost of debt with a margin of 185 basis points when drawn and a seven-year year tenor with no amortization in the first two years. This facility has enabled us to lock in low cost secured financing through February of 2032, a date that is well past the 2028 maturities of the remainder of our secured bank debt. The chart on the right shows the progression of our net debt since December 31, 2021, which has declined almost $2.4 billion to a net debt balance of $535 million as of the date of this press release. In uncertain times such as these, we believe that it is important to maintain a diverse capital structure with multiple sources of funding and maximum flexibility. Slide 7, please. The chart on the left breaks down our outstanding debt by type and illustrates our ongoing shift away from high cost, inflexible lease financing towards lower cost, more flexible bank lending. Starting at the bottom, we have $72 million of legacy lease financing obligations outstanding on three vessels that are financed with Ocean Yield. These leases are expensive and under the terms, we will soon have a window to declare purchase options and repurchase two of these vessels within this year and the third within February of 2026. In the middle is our secured bank debt with a lending group dominated by experienced European shipping lenders whom we have strong relationships with. All of this debt matures in 2028 and bears interest at margins below 200 basis points. These facilities can be repaid at any time without penalty and we currently have significant headroom under all of the financial covenants. Further to this, about $300 million of our secured borrowings is drawn revolving debt, an important tool that we can use if we want to repay the debt yet maintain access to the liquidity in the future. At the top is our recently issued $200 million five-year senior unsecured notes which were issued in the Nordic bond market at a 7.5% coupon rate. These bonds were issued in January of this year, immediately prior to the tariff driven turmoil that has consumed financial markets recently and significantly altered the landscape for new bond issuances. This bond issuance was a testament to our years long efforts to strengthen our balance sheet and improve our credit profile. The bond issuance was well over subscribed and set the record for the lowest credit spread for any shipping company issuing U.S. dollar denominated bonds in the Nordic bond market. The chart on the right shows our actual outstanding debt from the end of 2021 through the end of April 2025 along with a bridge showing the changes in our estimated debt balance through the end of June 2025. The uptick in our gross debt over the first four months of this year resulted from the $200 million Nordic bond issuance, offset by the repayment of our then existing senior unsecured notes which were due to mature in June for $70.6 million, along with the recent $50 million payment into our $225 million revolving credit facility. Slide 8, please. Our debt repayment obligations from now until the end of the first quarter of 2026 are highly manageable at approximately $10 million per quarter. Additionally, since the beginning of last year, the company has recently completed the periodic special surveys on almost 60% of the fleet. Our forward drydock schedule is light as we come to the end of the year with far fewer off-hire days as compared to last year. Additionally, the work performed during these drydocks is expected to enhance the operating efficiency of each vessel going forward. Slide 9, please. The strength of our balance sheet positions us to continue to generate excess cash flow even in challenging rate environments given our low cash breakeven levels. Further to this, our operating leverage positions us to benefit from spikes in spot market rates that have been commonplace over the past three years. To illustrate our cash generation potential, at $20,000 per day, the company can generate up to $271 million in cash flow per year, at $30,000 per day, the company can generate up to $632 million in cash flow per year, and at $40,000 per day, the company can generate up to $994 million in cash flow per year. This concludes our financial overview. And now I’d like to turn the call over to James who will give an update on the product tanker market.
James Doyle: Thank you, Chris. Slide 11, please. As Emanuele highlighted, product tanker rates started the second quarter at higher levels than those seen in the first. Refinery maintenance occurred earlier this year with peak maintenance in February and March as opposed to April and May. As capacity came back online in April, seaborne volumes increased and rates showed a steady improvement. Near-term catalysts, including higher naphtha volumes increased OPEC output and a swing of LR2s moving into the crude trade point to a strong market. However, policy shifts, tariffs, sanctions and geopolitical crosscurrents have made the macro backdrop less predictable. Until the fog lifts, our visibility into the back half of this year is limited, but fundamentals still look healthy. Demand for refined products remains robust, inventories sit below five-year averages and refining margins have improved. Slide 12, please. Seaborne refined product exports have been strong, averaging 20.8 million barrels per day in April, which is 1.2 million barrels a day above their April five-year average. Ton mile demand has increased 13% excluding Russia and 19% including Russia compared to 2019 levels. Seaborne exports continue to increase and travel longer distances. Slide 13, please. We have seen limited changes to Red Sea and Russian refined product flows. Most product tankers still transit around the Cape of Good Hope, although Cape volumes have tapered since October. Russian barrels continue to move, but on longer voyages. Should a Russia Ukraine peace deal be reached, many tankers servicing Russian trades would struggle to re-enter Western markets because of their age, operating history and insurance or maintenance shortcomings. The limitation would favor conventional non-sanctioned vessels if Europe resumed Russian imports. Slide 14, please. The USTR proposed port fees generated plenty of headlines, but the impact looks modest for product tankers. The first section, Annex I targets vessels that are owned or operated by a Chinese entity. The second section, Annex II targets vessels that are built in China. However, Annex II has several exemptions which reduce the impact on product tankers. Vessels under 55,000 deadweight tons, including MR tankers and below are exempt. Ships arriving in Dallas are also excluded. Roughly 90% of U.S. refined product imports and exports move on MR product tankers and the United States is a major exporter. Thus the impact on product tankers is expected to be minimal. Slide 15, please. Over the medium-term, refinery rationalization is arguably one of, if not the most important drivers of refined product trade flows. We continue to see closures in global refining capacity. Over the last five years, global net refining capacity growth has been 1 million barrels. Last week, Valero announced that they will close their 150,000 barrel per day Benicia Refinery in California in 2026. Refineries face steep capital outlays to stay compliant with tightening regulations and for older refineries, the economics may no longer work. We anticipate further closures, potentially at an accelerated pace if the economy softens. As we saw in Australia, refinery closures don’t eliminate demand, they simply reroute it and often across oceans and over longer distances. Slide 16, please. We thought it would be useful to look at refined product demand under different global economic slowdowns. After Iraq’s invasion of Kuwait, the Asian currency crisis in September 11/dot-com bubble, total refined product demand didn’t fall, it merely grew at a slower rate. During the financial crisis, consumption dropped 0.7% in 2008 and 1.7% in 2009 before recovering in 2010. Essentially, outside of COVID, there was a relatively quick recovery in demand. So what happened to seaborne exports and ton miles during these periods. Slide 17, please. Similarly, outside of COVID in mild recessionary environments, seaborne refined product exports in ton miles experienced moderate declines followed by quick recoveries in demand. Interestingly, seaborne exports and ton mile demand increased through the global financial crisis. From 2007 to 2010, ton mile demand increased close to 19%. The challenge is typically the supply side and the best evidence of this is Slide 18, please. From 2003 to 2010, the product tanker fleet grew 114%. In January 2007, the order book reached 63% of the existing fleet. So despite the 19% increase in ton miles during the global financial crisis, fleet growth outpaced demand. Today the order book is 20% of the existing fleet and a good share of those new builds are LR2s that may end up in the crude trade, layer on an aging fleet and the supply picture looks far more modest. Slide 19 please. Half the product tanker order book is LR2 vessels. As highlighted in the past, owners have opted to build coated LR2 vessels over non-coated Aframax vessels to have the optionality to trade and clean products. As a result, 46% of the combined Aframax LR2 fleet will be LR2s by 2028. The challenge with this is that 4x as much crude oil is carried on Aframax LR2 vessels compared to clean products. This is why 40% to 50% of the LR2 fleet has historically traded crude oil. We expect this ratio to continue because it would be difficult for 46% of the Aframax LR2 fleet to carry 20% of the overall volume. Slide 20 please. As one would imagine, older vessels carry less cargo and travel shorter distances. As the graph on the left highlights a 20 year old product tanker’s ton mile demand declines 45% compared to a 12 year old vessel. And if it were not for older vessels servicing the Russian trade, the decline would be over 60%. Thus, even if the vessel is not scrapped, it’s carrying significantly less cargo, reducing effective fleet growth. And the significant fleet growth highlighted from 2003 to 2010 is turning 20 years old every year through 2030. In the right hand graph you can see the age profile including the order book 17.5% of the fleet today is older than 20 years. By 2028, that number increases to 30%. Slide 21. Given the age of the fleet and likelihood of LR2 vessels trading crude oil fleet growth could be lower than expected. In scenario two, we assume 40% of LR2 new builds carry crude and scrapping remains minimal. If so, the product tanker fleet would increase by roughly 3% per year. In scenario three, using the same LR2 assumptions, but accounting for capacity declines for vessels 21 to 27 years old, effective fleet growth drops to about 1% per year. By contrast, ton mile demand has compounded at a 3.6% annual growth rate since 2000. Strong demand, modest supply growth and structural shifts in refining capacity continue to add ton miles. The balance of probabilities still point to a constructive outlook, but we remain mindful of the broader macro uncertainty and feel well positioned with a young fleet and a strong balance sheet. With that, we’d like to open it up for Q&A.
Operator: [Operator Instructions] The first question comes from Omar Nokta from Jefferies. Your line is open.
Omar Nokta: Thank you. Hey guys. Good morning. Today’s report is just about business as usual as you can get. Especially with this backdrop of what’s going on in the broader markets and you entered into some nice charters. Just wanted to ask maybe in terms of ship values, clearly there’s been a significant disconnect between where the equities are and tanker values. And so obviously not just for Scorpio, but across the board. And it seems like something has to give at some point. Maybe they converge or one meets the other. So far we’re seeing tanker rates as evidenced by your guidance, so far they’re rising. How are you thinking about where ship values are? Are you seeing them holding up? Is there transactions going on that can give you a barometer of what’s happening? What are you seeing from your vantage point there?
Emanuele Lauro: I’ll start Omar, Emanuele here. I think that the correction that we’ve seen in ship values, it’s closely correlated to the global uncertainty that has characterized the world in the last six months. So the big correction has come and has been more pronounced as the global uncertainty increased. So the way we see it is difficult to read at this stage. As everything else, as we discussed in the opening remarks and in the presentations, the fundamentals remain positive. And like you just said, we think that something’s got to give and we think that the values are going to be readjusted to match the rates as soon as the world gets some count.
Omar Nokta: Thank you. Thanks, Emanuele. And maybe just my second question. Clearly in a different world today, with tariffs and ongoing trade war and whatnot, can you talk a little bit about what you’ve seen, if there’s been any changes over the past few weeks or months in chartering habits? Especially as we think about what happened roughly about a month ago at the beginning of April, when it felt like things had gotten to a standstill. Did you see any of that make its way into products and any shifts since then? Thank you.
Emanuele Lauro: Lars, do you want to take this?
Lars Dencker Nielsen: Yes, I’m here. I think it’s really interesting to see that when the tariffs really came into play on, in particular on the gas side, what that really meant for NAFTA. There is, and there currently still is a rally going on with cracks and the time spreads, they’re hitting all time highs for this year. We’re seeing and have also talked about in the past about this perpetual west to east NAFTA ARP [ph] that’s been moving. But we can really start seeing that there is a lot of demand that is kind of coming in as NAFTA probably is going to be favored over propane in terms of pricing. It certainly is the case right now that, for the crackers and so on that they are probably switching over to NAFTA, which of course, bodes well for in particular for the LR2s. So we’re seeing a lot of NAFTA being pointed towards China or Asia in general. And we don’t see that kind of changing in the short-term. This is irrespective of the fact that ethane has been exempted from the tariffs. It could happen that propane as well is going to be played into that. But if things stand right now, it turns to see that NAFTA cracks have been remaining strong in the Asian markets.
Omar Nokta: Great, thank you. Thanks Lars and Emanuele. I’ll turn it over.
Emanuele Lauro: Thank you.
Operator: The next question comes from Chris Robertson from Deutsche Bank. Your line is open.
Chris Robertson: Good morning, everybody. Thank you for taking my questions. Just wanted to focus a bit on the vessel OpEx came down pretty significantly quarter-over-quarter, kind of normalizing back to level seen in 2024. Can you just talk about kind of the change from 4Q to 1Q? And what you think run rate OpEx will be going forward here?
Chris Avella: I’ll take that one. Hi, Chris. Chris, obviously, we’re happy to see the number come down, but as I’ve said on previous calls, one quarter doesn’t necessarily set a trend. So of course, we’re happy with the results. But if I were looking for a run rate, I would really use like a trailing 12 months average. And to help with that, so for the LR2s, I’d say that’s like slightly below or around $9,000 per day. For the MRs and the Handymaxes, I would say slightly below $8,000 per day on a normalized basis.
Chris Robertson: Okay, great. That’s helpful. Going back to Omar’s question a bit on naphtha versus some of the ethane based crackers. Do you have a sense of how many of the newer ethane based crackers in China have some feedstock flexibility versus those that don’t? And kind of what the bigger market opportunity might be if the arb is closed or it’s better favorable economics for naphtha?
Emanuele Lauro: I can start and maybe James can follow on. But I think that China has about 300,000 barrel per day propane to naphtha switching capability. But I think overall in the complex you have to look at the different markets that are adjacent to them as well where they can compensate for lower PDH run rates which provides them higher naphtha imports. But the fact of the matter is that where we kind of going into driving season would have seen a lot more naphtha, heavy naphtha is moving into gasoline pool in the West. We’re seeing a greater amount of naphtha moving from the met kind of naphtha loading ports going around the Cape to destinations in Asia.
Chris Robertson: Okay. Great. Thank you very much. I’ll turn it over.
Operator: [Operator Instructions] The next question comes from Liam Burke from B. Riley. Your line is open.
Liam Burke: Thank you. We’ve had more crude production, both from OPEC plus putting out more barrels plus non-OPEC countries coming online. How is that impacting the – your [ph] side of the market on the refined product side?
Emanuele Lauro: Well, I’m going to start with first part of it, which is kind of pretty obvious is that when we’ve been on these calls before, a lot of the questions have been about the crude clean switching and stuff like that and the risk of the kind of cross cannibalization from the crude side. That for sure is no longer kind of an issue that we consider to be prevalent. The crude markets have increased substantially. Atlantic Basin Aframax certainly are very strong. We have seen over the last week, maybe 10 days, five LR2s going into dirty. There’s also quite clear that if the crude prices continue to drop, are we going into kind of back to a contango market? There’s I think it’s 400,000 barrels of kind of additional production that came into May. Obviously, everybody talks about what OPEC is going be doing over the next two to three months in terms of unwinding their cuts. This, of course, is going to be very strong sign for the VLCCs, but that obviously flows through down to the Aframax. And that substitution for sure will be another positive sign for the LR2s. So I think today, if we look at it, if I remember correctly, is that we’re now about 50/50 into the standard LR2 versus Aframax fleet, whereas we’ve had over the last 12 months probably a stronger proponent of ships going in clean that has now reversed. I think also it’s interesting to note that if you look at the new-buildings, which has been the other issue that we’ve been facing from the vessels loading kind of with virgin tanks, cargoes loading out of Asia. I believe it’s only five VLCCs that are going to be delivered this year. So we don’t have the same issue as we saw the prevalent previous years. There’s a lot of Suezmax’s as well that are being delivered this year, I think it’s 2023. However, with all this additional oil that’s very much Suezmax focused and particularly the stuff around Kazakhstan will be very positive for that particular market. But most importantly for our market, we’ll not have this cannibalization substitution effect that we’ve seen in the previous years.
Liam Burke: Great.
Robert Bugbee: I would add to this, Liam, that obviously, if you just look at the macro part of things that a more oil, more cheaper oil is obviously very good for the demand and puts pressure on alternatives. The second aspect is that we as Lars is talking about is the actual chips themselves and how that’s related into their spreads. But it’s only a positive, especially and the third thing to remember here is that inventories are very low compared in crude or in products. They’re significantly below five year averages. So as Lauro says, if you take the trade into contango then that would give the option for even extra barrels in demand required to rebuild storage on top of basic demand.
Liam Burke: Great. Thank you, Robert. And on the tariff front or the USTR, does that have any impact on the sale and purchase Chinese vessels?
Robert Bugbee: I’m not sure. I think the actual USTR seems to be pretty insignificant for the product market.
Liam Burke: Okay, fine. Oh, thank you Robert.
Robert Bugbee: No problem.
Operator: The next question comes from Frode Morkedal from Clarkson Securities. Your line is open.
Frode Morkedal: Hey guys. Yes, I guess you just said the USTR didn’t matter that much but I just wanted to follow-up anyway because yes, thankfully the MR [ph] showed Exempt more or less like so you can do triangulations without any problems. But I guess LR2s and Aframax’s are not exempt. But I just wanted to ask if there are any triangulation involving the U.S. Gulf anyway and if so, maybe owners like you with a very high share of Korean vessels could benefit from that or not?
Robert Bugbee: The first part, I’ll just take that. And yes, on the LR2s, the LR2 market is insignificant when it comes to the U.S. so, if it’s Chinese built, Korean built, for most part of the LR2s, that is not an issue. It becomes a greater issue of course on the Aframax’s but as you rightfully said Frode I mean, on balance, considering the fleet structure that we have in Scorpio, it’s not going to present an issue for us.
Frode Morkedal: Okay, perfect. That’s it for me. Thank you, guys.
Operator: That concludes our Q&A session. I will now turn the call over to Emanuele Lauro for closing remarks.
Emanuele Lauro: Thank you very much for everybody’s time today. I don’t have any further remarks. Look forward to speaking with you in the future, as the case may be. Thanks a lot for your time. Goodbye.
Operator: Ladies and gentlemen. That concludes today’s call. Thank you all for joining, and you may now disconnect.